Operator: Good morning, ladies and gentlemen. Welcome to the Trican Well Service First Quarter 2020 Earnings Results Conference Call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Mr. Dale Dusterhoft, President and Chief Executive Officer of Trican Well Service. Please go ahead, Mr. Dusterhoft.
Dale Dusterhoft: Thank you. Good morning, ladies and gentlemen. I'd like to thank you for attending the Trican Well Service conference call. Here is a brief outline of how we intend to conduct the call. First, Robert Skilnick, our CFO, will give an overview of the quarterly results. I will then address issues pertaining to current operating conditions and near-term outlook. We will then open the call for questions. Mike Baldwin, our Executive Vice President of Operations is also available to answer questions. I'd now like to turn the call over to Rob to provide an overview of the financial results.
Robert Skilnick: Thanks Dale. Before we begin I'd like to point out that this conference call may contain forward-looking statements and other information based on our current expectations or results for the company. Certain material factors or assumptions were applied in drawing a conclusion or making a projection as reflected in the forward-looking information section of our Q1, 2020 MD&A. A number of business risks and uncertainties could cause the actual results to differ materially from these forward-looking statements and financial outlook.  Some of these risks and uncertainties are further amplifying due to the current global health crisis caused by the COVID-19 pandemic. Please refer to our 2019 annual information form in the business risk section of our MD&A for the quarter ended March 31, 2020 for a more complete description of business risks and uncertainties facing Trican. This conference call also makes reference to a number of common industry terms and certain non-GAAP measures which are more fully described in our first quarter 2020 MD&A. Our first quarter results were released this morning and are available on SEDAR. The results of efforts to improve the profitability of our business continue to be seen in the first part of Q1. January and February and the start of March all saw strong equipment utilization and therefore strong margins as we had better alignment of our fixed cost structure to our accrued equipment levels. Despite lower revenues compared to Q1, 2019 our adjusted EBITDA would have been $24.8 million or 13% margin which was net of $4 million of fluid end expenses. This compares to Q1 2019 adjusted EBITDA of $26 million or 11% margin which was net of $1.6 million for fluid end expenses. This normalized Q1, 2020 margin improvement was a result of reducing our fracture and crew count and fixed cost structure to better align with anticipated activity levels. The flat higher fluid end expense in the quarter was a result of a number of fluid ends becoming due for replacement in the quarter and not necessarily reflective of a typical run rate quarterly expenditure level. However, as we noted in our April 6, 2020 news releases adjusted EBITDA was negatively impacted by COVID-19 and the announcements in March by Russian OPEC to increase production. These events required us to reevaluate our cost structure. We have implemented substantial cost reduction measures which resulted in more than $4 million of severance costs. Additionally, the dramatic drop in oil prices required us to establish a provision against our receivables. Initially, we anticipate an allowance of approximately $5 million. However, one of our customers with a current account receivable entered into a court supervised creditor protection process. Although this individual customer account may still yet be collectible the speed with which the banks acted required us to reevaluate our initial assumptions for our provision against our portfolio of trade receivables. This resulted in a recognition of an incremental $5.5 million receivable provision.  The impact of these two items resulted in reported adjusted EBITDA being $9.5 million. These market events also resulted in Trican evaluating the carrying value of our long-lived assets. As anticipated in our April 6 news release $131 million impairment of goodwill was recognized in the first quarter. The company also identified approximately $10 million of specific asset impairments. Totaled these Q1 charges of approximately $157 million were the primary driver of our net loss of a $155 million. Absent the effect of these items and despite the fact significant levels of parked equipment continues to be depreciated Trican was beginning to see a path of positive net earnings as evidenced by our positive earnings in January and February prior to the fall-off in March when COVID-19 began affecting the market. Our continued focus on our core businesses, disciplined pricing and equipment activation strategy and ongoing optimization efforts have been resulting in improved overall profit margins. Even in this challenging market we will continue to focus our efforts on improving our business. The Company's business continues to see positive cash flow generation, before considering changes in working capital, operating cash flows was approximately 410.5 million in Q1 despite continued significant Canadian industry headwinds that were prevalent even prior to the COVID-19 events. Positive operating cash flow combined with $8.5 million of positive cash generating investing activities as a result of our divestitures of non-core assets allow Trican to build a cash surpluses of approximately $28 million at March 31 and further improved our liquidity position  Our 2020 capital expenditures of $5.9 million were approximately 3% of revenues. This spend was comprised of required sustaining capital and infrastructure expenditures we will continue to limit capital expenditures in 2020 to those expenditures necessary to sustain our equipment. While we do not anticipating spending on any growth items our strong balance sheet affords us the flexible to invest if an appropriate opportunity is available. During the past 24 months we have monetized nearly 60 million of stranded and non-core capital for our ongoing asset disposition program. By recognizing the Canadian industry was generally over capitalized the company was able to monetize significant amounts of equipment which is contributed considerably to our relatively strong financial position. This has also helped us purchase more than 22% of our shares over the past 30 months including approximately 4.8 million shares we purchased in Q1. Substantially all of these purchases were made in January and February. The Company continues to view share repurchases as a good long-term investment opportunity for the use of any excess capital. However, the near-term market uncertainty will result in us being very cautious in deploying our modest cash flows. Approximately 40% of our allotment under the current NCIB program remains which corresponds to the approximately 40% remaining time until our NCIB expires at the end of September. We entered this latest downturn in a strong financial position. At the date of our MD&A our cash position approximated $23 million against a debt balance of approximately $15 million. This combined with our non-cash working capital balances of $80 million results in our forecast showing compliance with our covenants despite expecting the lowest well count in recent Western Canadian history.  I'll now turn the call over to Dale, who will be providing comments on operating conditions and the strategic outlook.
Dale Dusterhoft: Thanks Rob. As we noted in our press release from April 6 we have already taken a number of steps to ensure the safety of our personnel. We have had no cases of COVID-19 in our company and have implemented a number of procedures in the field and in the office to ensure the safety of all of our staff. Although second-quarter activity is light the safety protocols we implemented in our field operations for COVID-19 to protect our people and our customers has allowed us to continue to perform jobs safely and successfully. Additionally, all support functions continue to operate effectively from remote operations allowing us to continue with our business while ensuring the safety of all of our people during these unique times. As Rob alluded to, we have already made significant adaptations to our business due to this significant industry slowdown. We have reduced their fracturing, sands and coal crude counts and adjusted our fixed and overhead cost structure. Additionally, we have made seasonal cost structure adjustments which should help mitigate second-quarter negative operating results, before considering the positive effects of the Canadian Emergency Wage Subsidy Program. This Q2 will be the most challenging for the Canadian market we have seen in a very long time. Although there was some work in April most of our customers are planning very little work in May and June. So revenue for the quarter will be the lowest it has been in a number of years. We have therefore being very focused on lowering our costs in all areas to minimize the loss in the second quarter. We are utilizing the federal government wage subsidy program and are also having numerous discussions with our clients with respect to remedial spending work in relation to the federal well abandonment program. Although the well abandonment program is not likely to be material to the overall business. This program will help offset some costs and keep some of our people working in our cement service line. A positive event that we are seeing is that natural gas prices have shown relative strength to oil in particular compared to last year. Curtailed North American oil production is reducing associated gas supply and is possibly affecting the supply and demand balance for natural gas which when combined with improvements in Western Canadian storage and transportation infrastructure is providing for disruptive natural gas market. Well, we do not expect this to add significant work to the second quarter we do expect gas prices to support a base load of activity in Western Canada in the second half of 2020. This activity combined with our first quarter should allow us to cover necessary sustaining expenditures through 2020.  Pricing for pressure pumping services was competitive prior to entering this downturn. For this reason we do not anticipate significant pricing pressures. We believe companies will park equipment rather than electing cannibalize our own market for wear out equipment and negative cash returns. We will remain focused on working with our customers to improve daily pumping efficiencies which will reduce their costs far more than minor pricing concessions, through our partnership with a number of clients they are achieving pumping efficiencies of 20 to 22 hours per day and we have operations teams within the company working to move all of our clients to higher pumping efficiencies. This effort will also generate more profit from our existing asset base. The North American pressure pumping business remains competitive and companies that can improve efficiency, fees and offer low cost, high efficiency, safe service will retain the best customers while generating the best relative returns for our shareholders. Currently we have low visibility of our clients second half programs but expect to have them confirmed in the next month. At the moment and based on discussions with our long-term clients we expect to run three fracturing crews as compared to eight that we ran in the first quarter. With similar reductions in our cement and coil service lines. We will finalize our operating equipment complement as customers confirm their programs. Our Company's cost structure is much improved heading into this downturn and we continue to make cost reduction gains throughout our organization. We have a number of Lean Six Sigma projects underway that will lower our costs through automation, data tracking, better efficiency in our operations as previously discussed better pumping efficiency on location. Despite all the market uncertainty the strong balance sheet Rob noted will allow our company to continue and invest to pursue permanent business improvements. Since 2015 we have made a conscious effort to significantly de-leverage and restructure our business and have remained focused on our strengths in our core market. A big reason for the focus on returning funds to our balance sheet through debt repayments to share buybacks was due to our strict economic hurdle thresholds for investments. These thresholds helped ensure we did not continue to pursue a strategy of further over capitalizing in an already over capitalized industry. This discipline now uniquely positions Trican to come out of this severe downturn in a position of significant strength with the added benefit to be opportunistic through this severe downturn. We anticipate that unlike the downturn that started in late 2014 there will be significant fracturing equipment attrition within the industry as equipment is older and more likely to be retired and brought back into service after this downturn. The ability to replenish and replace equipment will be significantly diminished for many in the industry which will be an advantage for organizations with relative financial strength and will provide the potential opportunity to improve business performance significantly coming out of this incredibly challenging market. Despite these market challenges our primary goals for 2020 remain consistent with those we presented previously. First we will continue to focus on having top quartile returns in our sector by increasing the returns of our core business lines to strong utilization and a permanently lowered cost structure. This will improve the return on investment capital we generate from our active equipment. We will continue to pursue opportunities to generate funds from parked equipment or idle assets that can no longer be used in Canada. Maintaining a healthy balance sheet is still our top priority. We will continue to evaluate returning capital to our shareholders through our NCIB program while monitoring cash flow from operations and not compromising our financial strength. Our strong financial position affords us the flexibility to evaluate investment opportunities that may permanently change the industries such as funding, cost reducing technologies and programs. This ensures we can continue to improve our efficiency, cost structure in a highly competitive market and at the same time let us explore investments in our existing business and potentially new service lines that yield short-term financial returns combined with long-term improved return invested capital for the company. On behalf of the board of the Trican executives, I want to thank all of our staff for their hard work and dedication. A silver lining around the challenges we face as a company has been how our team has taken to heart the company's overarching guiding principle of safety. Our employees have adopted their approach to work and continue to deliver at a very high level in all areas of the business. Additionally, the challenges faced by our team has bonded our people more strongly together. So once again thanks to all of our valued people for staying safe and working hard through this downturn to make us a better company. I thank you for your attention today and your interest in Trican and I'd like to turn the call back to the operator for any questions.
Operator: Thank you sir. We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Taylor Zurcher with Tudor, Pickering and Holt.  Please go ahead.
Taylor Zurcher: Hey good morning and thank you. First question I just wanted to ask on the competitive environment up in Canada and down here in the U.S., we've seen a number of players just shut down completely or either repurpose their pumping equipment for some other purpose and I realized that the Canadian market is a whole lot more consolidated than it is down in the U.S. but just curious if there's anything you're seeing of note from a competitive dynamic or positioning standpoint up in Canada and you made the comment on pricing that there really isn't much more room to give to the downside. Do you see your competitors following suit with that sort of pricing discipline mantra where pricing sits today? 
Robert Skilnick: Yes. I guess two parts to that. The first part is we've seen some competitors basically shut down their operations here in the second quarter. But I can’t say whether they're going to fire up again in the third quarter probably depending on how much work comes into playing for them at that point in time but there's a little bit of equipment shuttering this quarter. I would say though the majority of our competitors are still intact planning to operate going forward. So we don't really see a material change in our competitive environment at this point in time. That may evolve as we get further in the year. On pricing, I would say the response we're seeing the marketplace is consistent with our approach that people are more willing to park equipment rather than to chase prices down at the level that we're at right now and so we've seen that approach from all of our competitors. No one is really trying to grab market share in this environment. 
Taylor Zurcher: Okay. That's helpful and sounds like the frac fleet side of the business has been resized to about three fleets for the back half, realize that the visibility into the back half of the year is super limited if not zero today but with the three fleets in place you have today and similar sort of activity reductions on the other side of your business and if we think about some of the cost reduction initiatives that you've now put in place. With that size business can you expect it to maintain positive EBITDA on the back half of the year? Is that just something you can comment at this point?
Robert Skilnick: I think just we kind of we said in the prepared remarks there like, we are targeting for a full year to have a business sustains our capital expenditures which includes the Q1. It's pretty tough to see the whole second half but I mean that's is really as best we can provide at the moment Taylor. Q2 is going to be tossed so, like we've got seasonal cost adjustments as Dale said but it's still going to be a pretty-pretty tough Q2.
Taylor Zurcher: Okay and last one for me. You talked in the prepare remarks about some of the macro tailwind on the natural gas side and maybe that's a longer developing tailwind but as we think about the back half of the year, I think you said that some of these natural gas opportunities would support a baseline of activity. Are these jobs or projects that were already there two, three months ago or are these things that are just come into light in light of some of the recent macro developments on the gas side?
Robert Skilnick: I'd say that our core customers basically had it in place for a couple months that was really around natural gas prices holding in and the forward strip through the summer inspecting going on where gas is in the two range and so at that point of time some of the natural gas and particular dry gas players firmed up their programs and then we've seen some increases in the last month to even couple of weeks to those same players that are just adding a few more wells because they got gas prices are holding and well and there's -- I would say there's a view with some clients that gas prices will actually improve as we get into October, November timeframe with storage levels where they're at and associated gas falling off and so that is also driving some of the decisions our clients are making.
Taylor Zurcher: Understood. I appreciate the answers guys.
Robert Skilnick: Thank you Taylor.
Operator: Our next question is from Dane [indiscernible] with CIBC Capital Markets. Please go ahead.
Unidentified Analyst: Good morning everyone. So I guess just starting off granted, I get these visibility is really tough right now but when you look at the back after year and the relative strength in the gas market, is the current expectations for Q3 to bury the majority of the year -- over-year softness relative to Q4? Just kind of curious – you kind of mentioned this a little bit but do you expect to see similar dynamics where customers try to time some oil completions for the stronger gas market?
Robert Skilnick: Well, it's hard to say right now. It really, I think our customers plans for Q4 just not yet defined yet. So I don't want to go out and say that we will see a ramp up as the year goes on yet. I would say that if gas prices continue to move upwards going into the winter then we are going to see that. Our view is that we're probably going to start with, in July with kind of relatively metered activity as the customers are still pretty cautious and then if commodity prices hold on the gas side in particular, I mean even on oil if you see an increase at all the second half as year goes on then you are going to see some increases programs but it's very dependent on all the things that are out there related to commodity prices.
Unidentified Analyst: Right. Okay. That's right. That's good color. Thank you. And I guess just falling on some of the earlier comments on pricing concessions, can you share was there any pricing discounts in the first quarter either by yourself or did you see any of your competitors engaging in price discounts through Q1?
Dale Dusterhoft: So we didn't see any anything in Q1 at all, like relative to --
Unidentified Analyst: That's okay. Right. Got you. Okay. Thank you. And then just last one for me and I'll try to call back. Any sort of color you can give on working capital harvest over the balance of  the year?
Dale Dusterhoft: Yes. I mean we kind of gave a little bit of a sight line with the disclosure we provided showing our April 30 working capital there in the [news]. Given the low activity three hydraulic fracturing crews we are certainly not expecting a massive rebuild and receivables. So it's going to be a net cash inflow for the year for sure.
Unidentified Analyst: Right. Okay. Fair enough. Appreciate the color guys. I will call back. Thank you.
Operator: Our next question is from Ian Gillies with Stifel. Please go ahead.
Ian Gillies : Robert wanted to start with a bad debt expense. I know there's probably still some chance of recovery there as you go through the bankruptcy process with your customer. Can you maybe just provide some insight on how that process looks and how you go about doing that and then maybe as a follow-on to that question, there's been a few other E&Ps that have entered into forbearance agreements rather than a CCAA and I'm just curious of whether that charge you took in Q1 was just trying to be really conservative for things that may happen or whether you're expecting any more bad debt expense given what you know right now?
Speaker: Yes. I think it's all to do with the timing, we did all the work at the beginning of your January, February and then mid-March, late-March to get these events. So we've collected a ton of receivables. So we obviously have sightline on that and the one that you know if they're actually not in bankruptcy yet but it’s an important protection process we're still able to lean the wells. So there's maybe some avenues take that puts us in a reasonable position to collect that later. So call it conservative just call it prudent, I guess is just the approach that we wanted to take with it.
Ian Gillies : And I guess just going back to the second part quickly, I mean as you look around and you look at the receivables piece. I mean, how are you feeling about that right now? Are you seeing your customers trying to stretch even further or I guess how is behavior?
Robert Skilnick: No, I mean it's kind of reflected in our cash balance like we were expecting to look to be stretched out a little bit more and I got to be careful with customers are listening. They try to stretch us but we haven't seen it. So I think it's come along as we would have expected like our April collections were right in line with what we were planning.
Ian Gillies : Okay. Yes Dale with respect to operational parameters moving forward given lower equipment demands can you do much from a fleet setup standpoint to reduce R&M expense and perhaps even maintenance capital, just through less wear and tear on the equipment by bigger frac fleets?
Dale Dusterhoft: Yes. The answer is so, we will be, there's a number of initiatives we have underway right now that are part of our kind of a lean program that'll help us reduce our repair and maintenance expenses but also just the amount of equipment compliment that we have in the company allows us to rotate things through not stress it as much, basically lower our R&M probably to a much lower level than we normally would have.
Ian Gillies : Got it. [indiscernible] broken record but strategically as you think about M&A and the strength of the balance sheets and I know things are pretty dire at the moment across the industry but how are you thinking about that part of your job in the context of the strength of the balance sheet?
Dale Dusterhoft: Well we, number one is we want to maintain a strong balance sheet, so tasting on whole bunch of debt which I said before isn't something that appeals to us but absolutely we believe we're in a position that we could do some things if it makes if it makes financial sense and were accretive. But this type of market have to be very accretive to our shareholders. It can't be a small accretion level. It's got to be something that really makes a lot of sense before you move on it a lot of strategic sense for the company down the road. And so I would say probably like much like it did before that we are open to it we're open to it but it has to meet our hurdle rates and it has to make us sure that we don't put ourselves in the bad debt position.
Ian Gillies : Okay. That's helpful. Thanks very much. I will turn the call back over.
Robert Skilnick: Thank you.
Operator: [Operator Instructions] Our next question is from Keith [indiscernible] with RBC. Please go ahead.
Unidentified Analyst: Hi. Good morning. Thanks for taking my question. Hope everybody is doing well. Just a question and apology if I missed it do you have an indication of the amount of funds you might expect to receive from the emergency wage subsidy?
Dale Dusterhoft: We didn't put a number out at this point. We're not doing it. We just, we want to see a couple payments coming to make sure we've got everything dialed in there.
Unidentified Analyst: Got you. Okay. And just the reduction of equipment and the 60% expected activity reduction you mentioned, should we be thinking about that is relative to Q1 or may be relative to second half of last year?
Robert Skilnick: Yes. Essentially the Q1 is our base level there. I mean technically we are running about eight crews through the back half last year. So I guess you could look at it with that too.
Unidentified Analyst: Got you. Okay. Well that's it for me. So thank you very much for the color.
Operator: Our next question is from Jeff Fetterly with Peters & Co. Please go ahead.
Jeff Fetterly: Good morning guys. Just two random ones for you. The assets held for sale as current assets what's your expectation or visibility around those dispositions? 
Robert Skilnick: Well, I mean so the requirement to remain there's 12 months. Given its real estate we felt it was reasonable to keep it there. We will obviously evaluate a quarter by quarter to see if that changes but that was the primary reason we locked it there Jeff.
Jeff Fetterly: It's safe to say you don't necessarily have any agreements in place to sell it at this point?
Dale Dusterhoft: No with a third party, although there's still been, we still get calls on even through this type of environment.
Jeff Fetterly: Okay. And then as you said thank you for the updated data and cash commentary as at the end of April. Just curious when you look at May and June given as you said Dale the activity is going to be fairly low how much more working capital do you think you could harvest from the balance sheet before the end of Q2 given you still have 80 million sitting there?
Dale Dusterhoft: Yes. So that the $80 million includes that $14.5 million or so of assets held for sale Jeff. It's really tough to say like where April and the beginning part of May is always best timeframe for that. So we even if we trade it in more we'd be sitting in on a plus ten position but you are obviously you are then still sustaining a pretty strong working capital balance into existence but given how slow it’s going to be, we may see further alignment that we have already seen.
Jeff Fetterly: Okay. Then Rob your comment earlier about expecting to remain compliant with your covenants in 2020. Did I hear that correctly?
Robert Skilnick: Yes. I mean it's, yes.
Jeff Fetterly: And to remain compliant with those covenants should we be thinking that your bank debts you're not going to have any bank debt or is that contemplating all the adjustments that would be reflected in your Q1 EBITDA number? 
Robert Skilnick: I think, Jeff, what I would say is most of the largest organizations to answer on your question most of the largest organizations of the globe aren’t providing guidance. So that's the maximum level of guidance I will give it at this point.
Robert Skilnick: Dale clarify to want add backs through the banking debt agreement there are certain things like severance that have always been added back and there's other items that we present in the statements to kind of give a little bit of color there. 
Jeff Fetterly: Great. Thanks.
Robert Skilnick: Thanks Jeff. 
Operator: There are no further questions registered at this time. I would like to turn the conference back over to Dale Dusterhoft for any closing remarks.
Dale Dusterhoft: Yes. Thank you very much for your interest in Trican. We hope that everyone remain safe. We ask everyone in the public to continue to practice safe COVID-19 related precautions even though we're starting to come back to work. It's very important that we get through this virus as the country and as a province and as a company in our case. So thank you very much and we will look forward to talking to you at the end of July. Thanks. 
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.